Operator: Good afternoon, ladies and gentlemen, and welcome to the Kratos Defense & Security Solutions Third Quarter 2021 Earnings Conference Call. . I would now like to hand the conference over to your host, Marie Mendoza, Senior Vice President and General Counsel. Ma'am, please go ahead.
Marie Mendoza: Thank you. Good afternoon, everyone. Thank you for joining us for the Kratos Defense & Security Solutions third quarter 2021 conference call. With me today is Eric DeMarco, Kratos' President and Chief Executive Officer; and Deanna Lund, Kratos' Executive Vice President and Chief Financial Officer. Before we begin the substance of today's call, I'd like everyone to please take note of the safe harbor paragraph that is included at the end of today's press release. This paragraph emphasizes the major uncertainties and risks inherent in the forward-looking statements we will make this afternoon. Please keep these uncertainties and risks in mind as we discuss future strategic initiatives, potential market opportunities, operational outlook and financial guidance during today's call. Today's call will also include a discussion of non-GAAP financial measures as that term is defined in Regulation G. non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in compliance with GAAP. Accordingly, at the end of today's press release, we have provided a reconciliation of these non-GAAP financial measures to the company's financial results prepared in accordance with GAAP. With that, I will now turn the call over to Eric DeMarco.
Eric DeMarco: Thank you, Marie. Good afternoon. In the third quarter, Kratos' unmanned systems business generated revenues of $61.3 million, which represents organic growth of 14.6% over the third quarter of 2020. Kratos' space satellite and cyber business generated revenue of $72 million, organically increasing 17.5% over the third quarter of 2020. Our unmanned systems and space businesses are our company's largest, they're our fastest-growing and are both expected to continue to generate very strong year-over-year future revenue growth. This is representative of the successful execution of our internally funded investment, organic growth-focused strategy, which growth, we believe our C5ISR, our rocket system, microwave electronics and engine businesses, will each also see in the future based on recent program wins like GBSD, Iron Dome, next-generation small engine development contracts and opportunities. We currently have multiple under contract, large and new programs, where we are expecting significant future increases, including Sub-Sonic Aerial Target or SSAT with the United States Navy, Skyborg, Thanatos, AirWolf, Offboard Sensing Station, Ground-Based Strategic Deterrent, overhead persistent infrared, tactical intelligence targeting access node, the hypersonic ballistic tracking space sensor and several classified programs, among others, all of which are under contract, which also provides the confidence in our future year-over-year growth forecast and up into the right trajectory. As you know, the final revenues from our legacy International training business, which contributed approximately $35 million in 2020 revenue and over $14 million this year before completely winding down in Q2, have been masking Kratos' overall core business growth rate, which we will continue to highlight for you until financial performance is comparable in Q3 next year. Excluding the legacy training revenues, Kratos' '21 over 2020 forecasted overall organic growth rate is still forecast at greater than 8%, with this growth even after we saw approximately $31 million of Q3 and Q4 '21 revenues deferred to future periods due to COVID-related travel, supply chain and customer issues, which we identified as potential execution risks on our Q2 call with you, including in the Q&A. I will emphasize here again, as I did in Q2, that substantially all Kratos' Q3 and Q4 forecasted revenue was and is already under contract with customers. Accordingly, irrespective of these issues, which all will eventually pass, Kratos is in a great position today. We continue to execute, we control what we can control, we're winning new programs, and we're driving the business plan. Specifically to execution, since our last report to you, we have received a $374 million sole source single-award target drone related contract with United States Air Force, of which we expect to realize substantially all, if not the entire $374 million IDIQ amount in Kratos' revenue over the period of performance. The United States Navy's SSAT program office, PMA-208, recently completed 3 back-to-back test flights with Kratos' newest subsonic aerial target drone, the BQM-177A in preparation for full operational capability of this Kratos' target drone system, which is now expected to come later this year, and we now expect the next sole source full rate production contract to come in the next few months. Our tactical drone related programs continue to progress, including a recent successful series of customer flights for Kratos' AirWolf drone and fourth Thanatos, which we now, with these successes, expect significant increased future revenues. We have successfully competed 4 and received an AFRL OBSS or offboard sensing station, affordable tactical jet drone program award, which we believe has potential future growth opportunities similar to Kratos' Valkyrie, the Gremlins program, AirWolf and Thanatos. We believe that Kratos' recent receipt of the OBSS award for a new, low-cost attritable unmanned aircraft program, demonstrates Kratos' digital engineering and technology-leading position. The OBSS drone system continues to expand Kratos' industry-leading family of affordable disposable, reusable and attritable drone systems, each with their individual capabilities and mission focuses. With the OBSS award, we continue to believe that Kratos is the best-positioned company to realize incredible growth and forecasted to be incredibly large tactical drone area as Kratos continues to successfully bid for and receive significant awards in this area. Kratos' ghost works, including our Air Gap group, played a key role in our OBSS success, and Kratos' ghost works is now currently focused on additional new program system opportunities, certain of which we expect to hear on in the coming months, and hopefully, we will be able to report to you. In just -- and just a few weeks ago, as I noted, Kratos' ghost works had a successful Thanatos flight as this program initiative continues to progress. On August 16, the Air Force reiterated its commitment to be ready for a 2023 Skyborg Vanguard program of record, under which Kratos' Valkyrie and Mako jet drones are both recognized participants. The Kratos Valkyries under the contract with the Skyborg program are expected to be delivered shortly and the Valkyrie aircraft under contract with the LCAT or low-cost attributable aircraft technology program, which also remains on track, also now are scheduled for delivery. In addition to Skyborg and LCAT, we have been in discussions with additional customers and program offices for Valkyrie, which funding is anticipated in the pending 2022 budget, if everything holds as currently expected. It was recently reported that the general-in-charge of the Air Combat command stated that the first low-cost attributable jet drones could be in a stealth red air role as adversaries for fifth generation fighters and that low-cost attributable aircraft systems will be a future growth industry. We believe that Kratos' Valkyrie and its capabilities would be an excellent system for this adverse air mission, and we understand that there are currently a significant funding planned in the 2022 budget NDAA markup for this ad air initiative, which we view as another large new potential opportunity for Kratos and Valkyrie. It was also just reported that Kratos' Valkyrie was specifically mentioned this week by the government for a certain new mission and opportunity in the Pacific region, which we have been working on. These are just the most recent examples of where Kratos' clear industry-leading position and affordable high-performance made in America jet drones with multiple classes flying today. We don't have power points or renditions, flying today are the Valkyrie, Gremlins, AirWolf, Mako and others, and this is a clear first to market competitive advantage for our company and why we are so confident in our future success and the growth trajectory. The production of the initial 12 Valkyries remains on track in our Oklahoma facility, with the possibility now based on the 2022 DoD budget, once finally approved, that we may be making a decision to accelerate and pull certain of these 12 to the left, completing them sooner if possible, in conjunction with our customers' input, and we now have begun planning for a potential second Valkyrie production spiral lot in addition to the current initial 12 introduction to begin next year, which would also be in close cooperation with our customers' demand signals and expected funded contracts. We recently announced that Kratos' AirWolf Tactical drone system, completed a 100% successful flight at the Burns Flat, Oklahoma range facility. This AirWolf mission, which was the inaugural flight at the Burns Flat range location included multiple new payloads carried by Kratos' AirWolf, including a proprietary Kratos' artificial intelligence and autonomy system, which has been developed by Kratos specifically for high-performance jet drone aircraft. Kratos' AirWolf flight demonstrates the value that the Burns Flat range facility asset brings to Kratos, including the ability of Kratos' ghost works to now conduct flights rapidly, affordably and in a secure confidential environment away from the competitor's site. Ketos AirWolf also recently performed another successful flight series in addition to the Burns Flat flight, including a critical customer flight, which was 100% successful, and we are optimistic that these recent successful flights will lead to future program opportunities. And it was also recently reported that Kratos' AirWolf Combat drone launched the loitering munition in flight, another important milestone for the system as we move toward missionization. On Gremlins, it was recently reported that an additional new test series is now planned for the program with our prime partner Dynetics, with a potential additional contract award in the first half of '22. This potential additional phase will reportedly feature operations-focused testing and mission demonstrations that could include a single operator controlling multiple Gremlin vehicles and payloads and intelligence, reconnaissance and surveillance missions, facilitated by certain types of electronic and cyber payloads. This phase would serve as a pilot program to develop and mature military mission capabilities and assist the DARPA Gremlins program to successfully get through the infamous DOD Valley of death and transition successfully to a military service program of record, which Kratos fully expects will occur similar to Valkyrie and AirWolf. It was also reported that multiple service branches have been involved in conversations about the future of the Gremlins program after transition, including the Air Force, the Marine Corps and now the U.S. Navy and that DARPA intends to bridge the DOD valley of depth with at least 2 drone programs, both of which are currently supported by Kratos, one of them including Gremlins. Kratos' Mako tactical jet drone also continues to achieve success under various programs and initiatives, but as I have mentioned before, most of this is now classified. The Thanatos development program remains on track, including the recent successful flight as are each of our other tactical drone programs and initiatives. We expect significant future year-over-year organic growth for Kratos' unmanned aerial jet drone business, both tactical and target as the demand for these types of drones and systems continues to increase. Directly related to Kratos' affordable drone initiatives. The Air Force's Research lab recently announced that Kratos is part of their team under the design for manufacture of attributable aircraft primary structure or DMAS program, which is an AFRL, Aerospace System director team of researches -- researchers and engineers, which has now successfully tested a new low-cost attritable aircraft fuselage and wings design. As you know, attritable refers to a new class of unmanned aircraft that are purpose designed and routinely reusable built affordably to allow a combatant commander to tolerate putting them at risk and improving attributable aircraft technology is crucial to providing the operational war fighter with the tool that is affordable and easily manufactured and tight time constraints. The AFRL stated that the autonomous collaborative platforms or ACP, these will play an increasingly important role in various Air Force missions and that the main tenets of ACP our autonomy, affordability, speed of design and build and mission effectiveness, each of Kratos strength area. The DMAS program is directly addressing these characteristics, which are critical to the ability to develop affordable, attritable drone systems in large numbers and present the military challenge to peer adversaries. The announcement of Kratos' participation in DMAS is incredibly important to our unmanned tactical drone system long-term strategy and success, and once again, as representative of Kratos' industry-leading position in the next-generation UAV area. Simply stated, as I believe, is reflected in today's report, unmanned jet drones will be joining the combat Air Forces flying alongside manned aircraft, carrying additional munitions, performing, surveillance and jamming and making attacks, including to protect their manned wingmen. Low-cost attributable unmanned drone systems will affordably increase the size and capability of the air fleets without adding additional pilots and unlike manned systems, these drones are designed for short operational lives, reducing or eliminating the cost of depot level maintenance or service life extensions or SLEPs. So needless to say, we're extremely excited and optimistic for Kratos' unmanned systems business and our related next-generation engines, which go in these systems as well. Kratos' space and satellite and cyber business has now successfully delivered the first set of products to support the U.S. Army Tactical intelligence targeting Access Node or TITAN space to ground system prototype, which is being developed by Kratos' partner, Northrop Grumman. The purpose of the space to ground TITAN system will be to provide near real-time data to commanders at all levels for timely targeting solutions. In Q3, our space and satellite business continued to successfully perform and deliver on OPIR or overhead persistent infrared, a missile warning satellite program and one of our business' largest programs. Kratos' space, satellite and cyber business also supports AEHF, WGS, SBIR, MUOS, HBTSS and many other confidential classified programs. Our third quarter adjusted EBITDA was stronger than forecast, primarily due to a more favorable mix in our space satellite and cyber business, including certain government agency programs. We expect the favorable mix to continue in the fourth quarter and thereafter, based on our backlog, opportunities and execution plans. We also continue to forecast future year-over-year organic growth with increasing margins for Kratos' space, satellite and cyber business. From a value creation standpoint for our shareholders, Kratos' space and satellite business is approximately $200 million -- $280 million, excuse me, in revenue, growing organically approximately 17.5%, with mid-teen EBITDA margins, which are expected to increase. There is currently incredible interest in the space and satellite industry, driven in part by forecast significant future market growth, including estimates of as many as 100,000 operational satellites in the orbit by 2030, up from 3,500 today and a future $1 trillion space economy. Kratos is the industry leader in satellite ground systems including our new first to market open space virtualization products. And the vast majority of the satellites in orbit and that are going into orbit are going to require ground infrastructure to successfully perform their mission, including command and control, telemetry tracking and control or TT&C, modems, recorders, antennas, digitizers and more, all of which are Kratos product and solution areas. Kratos is also the only company in the world with the Kratos owned and operated global space domain awareness network, which value is substantially increasing and in demand by our commercial customers as more satellites go up that can interfere or crash into each other, our customers want to know where they are, what they're doing and they want situational awareness, and Kratos can provide that to them with our global network. Kratos' space and satellite business is both an industry and the Kratos Crown Jewel, with valuations of assets and businesses in the space and satellite industry receiving valuations as high as 15x revenue was recently reported, and we are focused on continuing to invest and create significant value for our shareholders with this asset. Since our last report, Kratos' Rocket Support Systems business provided multiple advanced ballistic missile targets for the First Test Aegis Weapon System 33 or FTM-33, supported by the United States Navy and Missile Defense Agency, and we have multiple additional future missions currently planned, which are part of our forecasted future organic growth trajectory. We expect future year-over-year organic growth in Kratos' rocket support systems business, including growth in the ballistic missile target, sounding rocket, special mission and hypersonic systems areas. Our C5ISR business received approximately $13.2 million in program awards, including for a large U.S. National Security program, which we hope we're going to be able to provide details to you on in the future. Our C5 business is currently under contract for or in pursuit of multiple large missile, radar, space, satellite and other system-related programs, many of which are focused on the recapitalization of strategic weapon systems to address the peer threat. We continue to expect future year-over-year organic revenue growth for Kratos' C5ISR business, including significant expansion and growth in the GBSD program beginning in the second half of next year and then further increasing into 2023, where Kratos is a subcontractor in Northrop Grumman. Kratos' turbine Technologies business, or KTT, received an approximate $3.2 million contract award for the development of a next-generation small engine for a certain national security program. And KTT is currently under contract and in development for several next-generation turbo jet, turbofan and other engines for certain national security priority areas, including unmanned aerial drone systems, cruise missiles, powered munitions and other platforms and systems. KTT expects to receive a large multiple tens of millions of dollar additional engine related contract in the next few months, continuing this business's momentum, which also includes our engine business' work on Gray Wolf, speed racer and several other missile and powered munition programs. We are also forecasting 2022 over 2021 year-over-year organic growth for KTT in both our government program areas and in our commercial program areas where we are now expecting recovery from the recent COVID-related industry impacts. We expect future year-over-year organic growth in our microwave electronics business. This was driven in part by Israeli demand, India and other international radar, missile communication and satellite system demands and by a recapitalization of hundreds of iron dome interceptors, of which Kratos is a supplier. As we know, fiscal federal 2022 began on October 1, 2021, with no fiscal '22 budget in place, and the U.S. government now operating under a continuing resolution through at least December 3, '21. The a continuing resolution continues the preexisting appropriations at the same levels as the previous year, with no new program starts, no transition from development programs to production programs and no increases in existing production programs each of which directly is related to Kratos, especially in light of the new and increasing programs Kratos has recently received and is currently executing under. The possibility of CRs is the primary reason why we typically wait until our fourth quarter to provide the next year's financial guidance. In this case, the guidance for FY '22 as the length of the CR will directly impact Kratos' next fiscal year forecast and performance. Accordingly, we will provide our FY '22 forecast in February when we report our Q4 and our full year '21 results. As I mentioned in our Q2 report and earlier today, similar to many other companies in the industry, supply chain issues and delays, including as related to COVID, continue to be a challenge, especially as related to increasing lead times for critical parts from vendors and vendors canceling or significantly changing previously committed to delivery schedules at the last minute. We have recently seen approximately $31 million of under contract revenue deferred from our third and fourth quarters of 2021 to future periods, primarily as a result of COVID, supply chain and customer-related issues. These issues include our microwave electronics, space and satellite and C5ISR businesses being unable to timely receive certain parts, which were previously committed and COVID related international quarantine and related travel restrictions in our commercial satellite business, where we are unable to enter certain countries to execute on or deliver under contract customer systems. As soon as we can practically enter the countries to complete the work where we receive product from certain suppliers, we'll be able to execute and record the related revenue. Also included in the $31 million is an approximate $14 million shift from '21 to future periods in our C5 business on a large -- in excess of $150 million under contract Kratos program we are working on, where we understand our customer had to re-baseline their execution plan and schedule in cooperation with the government request. On September 9, 2021, the President issued an executive order mandating that by December 8, 2021, all federal contractor employees must be fully vaccinated against COVID-19 and less excluded by certain limited exemptions. The company is moving to comply with the President's executive order. However, as a result of the executive order, Kratos and our subcontractors, our suppliers, partners, customers at all, are experiencing certain disruptions, including, but not limited to employee distraction, unrest, some retirements, resignations, et cetera, and other situations that we had not previously anticipated or planned for. All of which we are now monitoring, we're managing to the best of our ability and which potential impact we have included in today's forecast. Irrespective of these challenges, as I discussed today, Kratos continues to successfully execute the business plan. Our unmanned systems and space and satellite communication businesses have industry-leading growth. We continue to win large and important new program opportunities, and we're forecasting continued strong year-over-year organic growth with increasing profit margins. In closing, Kratos' business model is organic growth based, one where we are making targeted internal investments in pursuing and winning large new program opportunities. Accordingly, we do not expect to pursue or consummate any acquisitions upsize. Only may be potentially small tuck-ins that are clearly aligned with our current business and strategy. Deanna?
Deanna Lund: Thank you, Eric. Good afternoon. Kratos' third quarter '21 revenues of $200.6 million were at the midpoint of our estimated range of $195 million to $205 million. Unfortunately, delays in deliveries from our vendor and supply chain base and travel restrictions have resulted in the delay in our ability to execute and deliver on certain of our projects, primarily in our commercial ground satellite and antenna and C5ISR businesses, which resulted in expected third quarter revenues of $8.3 million to be deferred to future periods. As we mentioned on our last call when we provided the guidance range for the third quarter and full year, the revenue and EBITDA forecast assumed an increase in execution and delivery timing and our supply chain's ability to deliver on time and on budget and our ability to hire necessary resources. Unfortunately, similar to what we are seeing across the industry, our ability to execute and timely deliver has been impacted by supply chain challenges and COVID restrictions, including international travel restrictions. Our Q3 '21 consolidated operating income was $10.5 million, down from the third quarter of 2020, operating income of $12.7 million, which includes third quarter '21 increases in stock compensation expense of $1.4 million, increased R&D of $300,000, primarily in our unmanned systems business and increased SG&A costs of $5.1 million, including increased headcount in our unmanned systems business. Total headcount in our unmanned systems business has increased $130 million from $755 million in Q3 of last year to $885 million. Net loss was $2.4 million for the quarter and GAAP EPS loss of $0.02 per share compared to GAAP EPS of $0.02 in the third quarter of 2020. Included in the net loss for the third quarter was a tax provision of $5.7 million on income, before taxes of $4.6 million or an approximate 124% tax provision rate, which was primarily the result of nondeductible, noncash stock compensation expense and taxes related to international based income. As a reminder, we have over $280 million of U.S. federal net operating losses, which substantially shield domestic base federal income tax payments due. We generated adjusted EBITDA of $23.8 million for the third quarter, above the range of our expectation of $16 million to $20 million, primarily reflecting a more favorable mix of revenues in Kratos' space, satellite and cyber and in our turbine technologies business. In the third quarter, our unmanned Systems segment reported revenues of $61.3 million, up 14.6% from the third quarter of '20 due primarily to ramps in production and target programs, including the 167 and work performed on the Valkyrie program. Unmanned systems generated operating income of $2.6 million, down from $3.7 million in the third quarter of 2020, primarily reflecting an increased mix of development type programs and increased R&D investments of approximately $500,000 and increased SG&A cost of $1.6 million. Unmanned systems generated adjusted EBITDA of $4.7 million, down from $5.6 million in the third quarter of 2020. KGS reported revenues of $139.3 million in the third quarter, down from $148.5 million in the third quarter of 2020, reflecting a reduction of legacy government services revenues of $6.2 million, down from $17.4 million in the third quarter of 2020 to $11.2 million in the third quarter of 2021 and a $5.5 million year-over-year decrease resulting from the previously disclosed reduction of certain international contracts in our Training Solutions business. On a pro forma basis, excluding these reductions, revenue grew organically 5.8% in the third quarter of 2021 as compared to the third quarter of 2020, reflecting a year-over-year reduction of $1.8 million from the ASC acquisition, offset by organic growth across our Space satellite and Cyber defense, rocket and microwave products business. As discussed earlier, KGS third quarter revenues were negatively impacted by the delays in supply chain deliveries, resulting in revenues of approximately $8.3 million expected in the third quarter deferred to future periods. KGS reported operating income of $14.6 million, up from $14.1 million in the third quarter of 2020. KGS' adjusted EBITDA for the third quarter of '21 was $19.1 million, up slightly from $19 million in the third quarter of 2020. Our consolidated adjusted EBITDA for the third quarter is from consolidated continuing operations, including net income or loss attributable to noncontrolling interest and excludes noncash stock-based compensation costs of $6.4 million, acquisition and restructuring-related costs of $300,000. Net income attributable to noncontrolling interest of $500,000 and a foreign transaction loss of $200,000. Moving on to the balance sheet and liquidity. Our cash balance was $369 million at September 26, we zero amounts outstanding on our bank line of credit and $6.6 million of letters of credit outstanding. Debt outstanding was $296.5 million at quarter end, and net cash at quarter end was $73.4 million. Cash flow generated from operations for the third quarter was $12.6 million, less CapEx of $12.9 million or a use of free cash flow from operations of $300,000. Contract mix was 75% fixed price, 20% cost-plus and 5% time and materials. Revenues generated from contracts with the U.S. Federal government during the quarter was 72%, including revenues generated from contracts with the DoD, non-DoD, federal government agencies and FMS contracts, which were approximately 0.4%. We generated 9% from commercial customers and 19% from foreign customers. Backlog at quarter end was $839.1 million, down sequentially from '21 second quarter backlog of $865.6 million with bookings of $174.2 million and a book-to-bill ratio of 0.9-to-1 for the third quarter of '21. Our book-to-bill ratio for our unmanned systems business was 1.1-to-1 for the third quarter of '21 with bookings of $70.4 million. Of the $374 million IDIQ award from the Air Force of sole source target drones that Eric mentioned earlier, only of the amount initially obligated of $30.4 million are included in our backlog and booking amounts for the quarter. As expected, we have continued to see contract awards in the fourth quarter. Since our third quarter end, we have booked over $50 million in additional awards in the month of October in our unmanned systems business. Funded backlog at quarter end was $618 million with $221.1 million unfunded. For the last 12 months ended September 26, '21, our book-to-bill ratio was 1:1 with total bookings of $770.9 million. Our book-to-bill ratio for the last 12 months ended September 26, '21 was 1.0-to-1 for unmanned systems, 1.1-to-1 for our space, satellite and cyber business and 0.9-to-1 for our KGS segment. And now moving on to financial guidance. We are adjusting our 2021 revenue guidance range from $810 million to $850 million to $805 million to $815 million, primarily to reflect continued and increased supply chain and customer delays, COVID-related quarantine issues and restrictions, including where we are unable to enter certain countries to execute on or deliver systems for customers. The adjustment primarily reflects over $31 million of under contract revenues that has been deferred from our third and fourth quarter of 2021 revenues to future periods, including in our satellite, microwave electronics and C5ISR businesses. We expect supply chain customer and COVID-related disruptions and delays to continue industry-wide as related to Kratos for the foreseeable future, which we are taking into consideration in our future forecast. The adjustment also reflects a Kratos customer re-baseline execution plan and schedule on a greater than $150 million C5ISR under contract Kratos program, which shifted certain cash approximating $14 million in revenues into future periods, including 2023. At the midpoint of this revenue range of $810 million, excluding the ASC acquisition and the international training contract, Kratos revenues are forecasted to grow organically over 8% year-over-year from 2020 to 2021. We are adjusting our full year '21 EBITDA guidance range of $81 million to $87 million to $80 million to $84 million to reflect the impact of the revenue shifted from our third and fourth quarters to future periods. We are improving our '21 free cash flow used from operations guidance of $30 million to $40 million to use of $20 million to $30 million to reflect expected reductions in our day sales outstanding and increased collections and lower than initially forecast capital and other investments as certain initiatives are ahead of schedule, under budget or reduce for other reasons. The full year '21 estimated operating cash flow includes approximately $5 million to $6 million of planned investments in our rocket support systems and engine business is for new products, including in the hypersonic area and efforts to increase Kratos' market share as well as approximately $5 million of the required payback of the 2020 deferred employee-related payroll taxes. The 2021 capital expenditure forecast currently includes expected outlays of approximately $25 million associated with the current -- sorry, with the continued production of Valkyrie aircraft prior to receipt of expected customer awards. Therefore, these aircraft are currently reflected as company-owned assets and  of the related customer awards. Kratos will adjust the forecasted capital expenditure outlays and the ultimate balance sheet classifications of these investments once expected customer orders and the nature of the contract terms can be determined. In addition, the capital expenditure forecast includes investments in the company's space, satellite and cyber business, secure facilities and the company-owned space domain awareness network, capital investments related to the recent GBSD award and investments related to the company's turbine and rocket support businesses. Eric?
Eric DeMarco: Great. Thank you, Deanna. We'll now turn it back over to the moderator for questions.
Operator: . Your first question comes from the line of Sheila Kahyaoglu from Jefferies.
Sheila Kahyaoglu: Maybe if we could think about a lot of these awards you won like OBSS and Valkyrie moving forward. Lots of good things. But can you summarize it for us in terms of how we should be thinking about the growth outlook for next year? It seems like we have a pretty robust double-digit growth outlook. What programs are the biggest incremental drivers? And does anything go away as we think about 2022?
Eric DeMarco: Right. Nothing -- so in the unmanned area, nothing goes away that comes to mind at all. There will be -- we are forecasting increases. And the biggest one is probably going to be in the tactical area, and this is going to be Valkyrie related, Thanatos related and we'll have to see if that additional phase for Gremlins gets awarded that I mentioned. We're going to get third year full rate production in the next few months on SSAT. This is going to be one of the top 2 target drone programs in the company. So that's going to be a significant adder for next year. And I'm not going to get into the percentages of growth because it's going to be -- a lot of it is going to be tied to the continuing resolution and the length of the continuing resolution because we got a number of programs in development that are going to be transitioning to production. I've got a number of production programs that are going to increase production, all of which are tied to the '22 budget and timing. But we are expecting significant organic growth in our unmanned systems business year-over-year, '23 over '22. Absolutely, we see it.
Sheila Kahyaoglu: And then maybe on margins, if I could ask one more. Profitability was really good this quarter, above our expectations. How do we think about that mix heading into Q4? What drove some of that big improvement?
Eric DeMarco: So driving the big improvement was primarily in the space area. And there are a few military programs or national security programs we're on and one in particular, and it has phases. And one of the phases was changed, which generated very positively for us, which generated significant profit margins in Q3. We expect our profit margins to remain strong. And potentially continuing to increase just depending on the mix. And that's not just for Q4, Sheila, but probably for next year, the mix of business is improvement -improving. Let me tell you what I mean by that. Development programs typically bring a lower margin than the production programs or the later programs.  And so you're going -- if they are going okay, you just got OBSS, that's going to carry a lower margin. But in 2018, '19, '20, we won a number of programs in development that are now transitioning to production in the space and satellite area, in microwave and in unmanned. And so the weighting is moving more and more to the more mature programs, which is going to be a natural lift on our margins, which is also because our manufacturing facilities, including in Oklahoma, where we're building the tactical drones, we're filling them up with more products. So for example, we're building a lot of air wolves right now. And so that's spreading the fixed overhead over a greater number of units, which is also driving profitability. So we have a few things that are working in our favor from an increased margin expansion area.
Operator: Your next question comes from the line of Ken Herbert from RBC.
Kenneth Herbert: Eric, I wondered if you could just level set us on Valkyrie production of the -- I think -- believe, still 12 you're producing this year. How many are under contract? And when do you expect all of them perhaps to be under contract? And how do we -- how should we think about production levels on that particular platform into 2022?
Eric DeMarco: So we were with the customer set, all of them on the under contract vehicles in the past few weeks. And we are still explicitly being told, Ken, we cannot talk about quantities yet. I think it might be for national security reasons. I'm not sure right now. So I can't get into the specifics on that right now for now to level set. In the -- under the Skyborg program, which, as we talked about today, the Air Force reiterated that they're looking for it to be a 23 program of record, which would begin obviously in October of '22. And in a number of other areas that are aligned and marked NDAA, including adverse air, expeditionary air. And one other one that I'm not sure is publicly out there. We have line of sight on significant additional Valkyrie orders. So the level set is, is once that '22 budget is approved and becomes law, and we see exactly where this comes out, then we're going to be making some decisions, as I indicated, where we may have to accelerate and pull to the left, some of the 12 that we're building to get them out there to the customer's hands quicker. And we're probably going to be making the decision to start ordering long leads, especially in this environment for the next block. And right now, Ken, we're thinking about another 12. It will be a spiral. I'm not going to get into anything at all on what that spiral is because it's very, very competitive information against our competitors. And so things are definitely firming up, and we're going to know a lot more when that final budget is present.
Kenneth Herbert: And if I could, maybe without getting into specifics, how is pricing trending for these aircraft? Obviously, you're the low-cost leader, they're attributable. But are you -- as you incorporate AI, as you incorporate other aspects into these aircraft, are you able to see a path to some better pricing? Or how should we think about that?
Eric DeMarco: I would not look for better pricing above the ranges that we've put out there previously. This is going to be one of the primary reasons why we are going to win. And we're not just going to win with Valkyrie, we're going to win, if not across the board substantially across the board. Because your point is spot on, we deliver a Valkyrie depending on quantities for $3 million, $4 million or $5 million each. The customer may have integrated into it $1 million or $2 million or $3 million worth of sensors or payloads or something. So they still have a less than $10 million low-cost aircraft, which just as recently, it was this week or last Friday, the Air Force PEO said, that's the target, and that's one of the reasons Ken, why we are, where we are.
Operator: Your next question comes from the line of Mike Crawford from B. Riley Securities.
Michael Crawford: Regarding the OBSS, are there any different long-term implications for margin profile if OBSS airframes hit production, given I think the government is going to own some of the data rights for this airframe?
Eric DeMarco: There are not margin implications relative to that aspect, Mike, based on the way we see the program working out. However, there will be significant positive margin implications for us. And this tied into, I'm not going to get into the specifics because of the competitiveness. But back to my comment, we're going to have more tactical aircraft in our robot factories. Which is going to spread the fixed costs over greater unit, which is going to drive the cost down for the government, which is a win for them, and it's going to probably enable us to increase our margins somewhat while still giving the government a better deal. And so this is part of our plan on consolidating the tactical production where we can into light facilities to drive those costs down. And as you also know, a significant greater than 50% of the bill of materials for the tactical drones is the same as the target drones. So as our tactical drone portfolio is ramping up, we're getting additional leverage on that supply chain across both target and tactical drones, which also should lift margins.
Michael Crawford: And then final question. Can you talk more about this runway independent Air Force cargo mission in the Pacific that you alluded to earlier, including how many times a reusable Valkyrie could actually be reused?
Eric DeMarco: I didn't allude to it, but I understand what -- I know exactly what you're talking about, of course. A Valkyrie can be used multiple, multiple times. It's designed -- it's not designed for 1 or 5 or 10 or 20 missions. It's designed for more than that. And what you're referring to, what was disclosed, I couldn't have laid out or described certain of the Valkyrie's attributes better than the Air Force did. And again, Mike, this is why I think we're a winner and all the points are heading to this all happening soon, is they need capability like the Valkyrie. They need capability like the Gremlins. They need capability like AirWolf. And we're first to market, and we've got the aircraft, and we all know budgets are going to be constrained. We want OBSS. I don't see any other development programs on the horizon, none. We'll see what happens with MQ next. And so this all ties into us winning and increasing margins.
Operator: Your next question comes from the line of Austin Moeller from Canaccord.
Austin Moeller: My first question is for Deanna. Is the $369 million in cash that you guys have sitting on the balance sheet -- is that enough to support the production ramp and all of these new major program wins, be it Valkyrie, OBSS, AirWolf, et cetera or do you think you're going to have to look at a potential capital raise?
Deanna Lund: At this point in time, we believe that it is sufficient. Obviously, if there is multiple production runs going depending on the size, we may have to revisit that. But at this point in time, it is sufficient.
Austin Moeller: And then, Eric, as you talk about that second batch of Valkyries, you're planning the second set of 12. Is the plan to do what you did before and essentially pay for the initial production of those out of pocket? Or is -- are you planning to have that essentially be paid for via a production contract? And is that timing in '22? Or do you have to wait for Skyborg to be program for accord for that?
Eric DeMarco: So right now, our plan is absolutely not to go and produce the spiral lot on 100% Kratos resources. That is not the plan right now. However, our line of sight with a number of customers is really clarifying. And as I've said a couple of times now, if the 2020 NDAA marked up went through as it was today, we would probably be making the decision to start ordering the long leads. It's that good for us, especially coming out of the center. It looks great. So we're going to wait and we're going to see, but our -- my plan today is to not to do anything unless we're closely coordinated with the customer set. We have clear line of sight on sales or use because there may be a service model, use of any additional aircraft we build. And that decision, I think we're going to be making by Q1, Q2, depending on '22 budget stuff next year.
Austin Moeller: And then just one quick follow-up. The Army's announcement about testing the AirWolf, have they put a dollar amount on that contract or not?
Eric DeMarco: No, you saw that. No, no. Good job that is seeing what the Army was saying about that. No, they have not put a dollar amount on it. We are -- but it's a very low cost -- very low-cost system. So they have not to this point. But Austin, I want to go back to one other thing on your previous question. A key part of our strategy that we've been winning with is we make the investment to build the aircraft and have them as capital or in inventory. That has also been a huge win for AirWolf. This has been a huge win for Mako. Okay. Dynetics is an outstanding partner. I never want to get ahead of them, but we do things like that with Dynetics, and it's a winner for us. And so this ties into what I said at the end, instead of making large gigantic acquisitions or things like that, we're probably going to build airplanes, which gives us a competitive advantage, both in the tactical area and the target area where customers can come, and they don't have to wait a year or 2 or 5, we can deliver them immediately.
Operator: Your next question comes from the line of Seth Seifman from JP Morgan.
Seth Seifman: I was wondering, Eric, if you could give us an update on open space and kind of to what degree or the -- any of the delays that you were speaking about with regard to supply chain affecting open space rollout and sort of the plan to ramp up there from last quarter? How is that progressing?
Eric DeMarco: Right. So open space is moving along. Right now, the number of military and national security programs we have, that we've won, including in the classified area. We've been focusing a lot in that area right now, Seth, which is one of the reasons why you're seeing the organic growth in the space business, and it's going to continue to go when I ripped off the programs we're on and they're ripping. So we have reallocated some of our resources from the commercial open space area over to the DoD side, okay? Now with that being said, what -- if you take a look at what's going on with the Standards Board, I see DISA just joined it. This is on the open architecture standards board for virtualized ground systems, where Kratos is the chair. So I think space commands there, Navy is there. DISA has now joined it. So this is happening on the virtualization of the ground system area. And we are rolling out. We are demonstrating the products right now with multiple customers. And I've mentioned the number of customers in the past. And this is definitely going to be one of our mid- and longer-term growth drivers as it rolls out. So that's what's going on in that area right now, both from a business mix standpoint and a resource allocation.
Seth Seifman: And then maybe just a real quick follow-up. When we think about the CR, I know in the past, sometimes it requires you guys to go out and start acquiring long lead items and built ahead. I know you talked about that with regard to the spiral on the Valkyries, but maybe even on some of the tactical programs where you're going to full-rate production. Is that something we should be prepared for as we head into '22?
Eric DeMarco: Yes, sure. Yes, good point. And also on the target drone side, too. Because we're sole-sourced with Navy and the Air Force, we know what's coming, as you're indicating, there are budgetary things. And because the customer is our partner, we very well may make the decision like in the engine area for tactical and target drones to place them on order. So when the customer finally gets his budget and his funding, we haven't delayed their program.
Seth Seifman: And then relatedly, with -- it seems like the delays, most of it is in the areas you pointed out within KGS. When we just think about all the different kind of supply chain exposures that are out there. On the unmanned side, are things contained enough within Kratos? I know you guys do a lot of your own work there. Are things contained enough within Kratos that the kind of supply chain risks in unmanned are much lower?
Eric DeMarco: We are, as you're indicating, substantially vertically integrated in the unmanned area. The only area where it might get us, and we bought a significant amount of engines last year, a significant amount across all platforms. And so the current supply chain issue would really have to extend for it to impact us in the unmanned area. But if we got the inclination that it was going to extend, we might make a decision to even lean forward and order additional engines 2 years in advance.
Operator: Your next question comes from the line of Peter Skibitski from Alembic Global.
Peter Skibitski: Eric, I was wondering if you could give us some more color on the Air Force multiyear target award that you received back in August? And I think as Deanna mentioned, you got the initial award under the IDIQ. So it sounds like you could start work immediately. I wasn't sure if you could recognize revenue until they're delivered. I would surmise 2022. But maybe you can clarify all that? And then will there be additional payload related contracts to go along with that? Just wanted some more color on that.
Eric DeMarco: Yes. So yes, we can start immediately because, as Deanna mentioned, we received the initial funding, what was like $30 million -- $30 million funding. So we can start immediately. Right now, we're finishing up previous production runs and lots. So what this will do, it will ensure that there are no breaks in production and no gaps in our financial performance. So that's the significance of the initial funding. That contract came in much larger than I thought than we thought it was going to. And for the obvious reasons, we know what's going on out there. And so lots and lots of target drones are being used to exercise systems. And to your other question, yes, there are additional contracts expected related to things like payloads and ancillary equipment and things like that, that go along with all of our target drone programs. So this is the core program vehicle though, this single award IDIQ.
Peter Skibitski: And just -- I mean, between the Navy, and I think in the past, you've mentioned classified target opportunities in the international. So are there still a few more pretty chunky target contracts out there for you over the next, I don't know, six months?
Eric DeMarco: Absolutely. So there are two. One is an international one. It is -- if the previous administration had one, I'm convinced we would have gotten it by now. I understand it's almost through the final review process. So hopefully, we'll be announcing this -- hopefully in the next couple or 3 months, we're going to announce this, but it's a biggie. And as you know, this is a brand new customer. And so what that means, this includes all the ground equipment that's going to go at the range to launch and recover the targets. And then now we're at the razor and the razor blade model, wherein in the future, we'll be selling significant additional targets to them. There is a confidential program we have. I'm not going to talk about it much, but it is expected -- it is in LRIP right now and LRIP quantities are increasing. It is expected right now to go into full rate production, either late next year or early '23. So we've got some good ones out there. And then, of course, there's a new biggie coming called NGAT, next-generation aerial target, a very large new program that's coming that we believe is right in our bailiwick that we're going to be going after.
Deanna Lund: And then just to add on to that, Pete, on the international target award that we're expecting, when that is awarded due to the terms and conditions of the international contract and the revenue recognition guidance, there would not be any percent complete on that. So that would be recorded solely as targets are delivered, which would not -- we would not anticipate until 2023 to commence.
Peter Skibitski: So there's three additional contracts, plus you do the Navy full rate out there also, did I hear that wrong?
Eric DeMarco: No, you heard it correctly, and it may be full-rate production. Absolutely, which is why the operating capability that I talked about for full rate operating capability is very important.
Peter Skibitski: And just last one. Just Deanna, I think it was you that you kind of see the October bookings in USD. I think you said $50 million just in October, that seems pretty strong. Any color on what programs that involves?
Deanna Lund: Well, I can tell you the one because we announced it is OBSS. So that's one of them.
Peter Skibitski: Yes. That was $16 million or so, something like that?
Deanna Lund: It's just under $18 million, $17 million and change.
Operator: Your next question comes from the line of Joe Gomes from Noble Capital.
Joseph Gomes: So I just want to clarify a little something here in KGS. You mentioned how the revenues came down and overall, but how the satellite, cyber was so strong. What else -- if I'm looking at that in some of your other product lines, was it all related to push out? Or are there some of the product lines where a little bit -- were coming a little bit weaker than expected?
Eric DeMarco: No, nothing came in weaker than expected. We -- as we said at the last call, virtually all of the revenue in our Q3 and Q4 was and is under contract literally. There are countries, and I'm not going to say them, but you know who they are primarily in the Pacific Rim, where we cannot go into because of COVID quarantines. So we can't go, get satellite systems signed off on, can't do it. In our -- on microwave electronics areas, where we have firm commitment dates where suppliers have said, we will have this stuff to you by this date. They call up and they say, sorry, we're out by 2, 3 months. And so it's -- those are the types of things that we're -- we've been seeing, we're continuing to see, which we've tried to incorporate in our forecast.
Joseph Gomes: And then the other day that, I guess, the Air Force kind of talked about eliminating at least 3 of their fighter families. Is there any positive or negative impact on Kratos?
Eric DeMarco: The Air Force, just the other day in Air Force Magazine. And I believe it was directly related to what you're referring to. Talked about high-performance jet drones are going to be a massive part of the force structure in the future. And they went into the attributables, they went into their low-cost nature, their high performance. They went into not having to have the pilot survivability systems in the drones. And then they talked about, we know why this is the sustainment tale and the logistics tale of maintaining them. The points are coming together, as I said. So I believe what I just mentioned to you that the Air Force published just the other day, I think it's probably directly related to the planned reduction in legacy aircraft that would not be applicable for a peer-on-peer fight.
Joseph Gomes: And one more, if I may. So some of the news here recently has been -- with China in the hypersonics, have you seen any response from your customers that would be a positive for Kratos based on the Chinese launch of hypersonics?
Eric DeMarco: I'm sorry. I cannot comment on that, and I apologize.
Operator: The next question comes from the line of Michael Ciarmoli from Truist Securities.
Michael Ciarmoli: Eric, I know we mentioned supply chain a couple of times. Just thinking about some of these programs you have, maybe even Valkyrie, stuff that's very early development, maybe not iron cloud on contract. How are you thinking about the raw material pricing environment? I mean, is that going to apply any pressure to you? Or are there any contracts where you might be executing on an older IDIQ task award where you're now seeing a little bit of inflationary pressure, and you might have to wait for that next one to kind of readjust? But is that going to be a headwind at all?
Eric DeMarco: We are absolutely seeing some of what you're talking about. In certain areas like in the composite area and the wire harness area, we have long-term agreements on the pricing. And in the engine area, which is #1 in the bill of materials, we have a long-term agreement. I think we just bolted in another 3 years or something like that. However, there are certain areas where we are absolutely seeing some price increases in the target and tactical drone area, where we've tried to incorporate them into our pricing. But as you know, most of these are firm fixed-price contracts with firm fixed price options, which we will have to figure out how to deal with.
Michael Ciarmoli: I think it came up before about the bookings in the quarter. Just given this environment, the CR, should we kind of calibrate our expectations for bookings to be challenged maybe at least the next 2 quarters? And then maybe along with that, what percent of your backlog is kind of shippable that you do have line of sight into now over the next 12 months that if you're trying to ring-fence risk or areas that are sliding out, how are you looking at that backlog?
Eric DeMarco: Yes. I would definitely, because of the CR -- and as I was talking about development programs going to production, production programs going to increase production. Those are either directly or indirectly tied to the '22 budget. And so my tummy tells me with no 2022 budget, there will be no contract award because they won't award it without the obligated funds. So definitely for -- potentially for Q4. And even if it's resolved by the end of the quarter, how the government is and getting back to Boeing again. So maybe it's like you said, it's Q1 or Q2. The important thing that I try to look at, and you know, Mike, I'm the most optimistic guy in the world, is most of these contracts, I'm talking to you about, they're on multiyear, multi-decade programs that we're sole source on. So I know they're going to come, but it's the timing that drives me nuts.
Michael Ciarmoli: The last one I had, you called out space and cyber and how strong it was. And I think you said it's currently $280 million at mid-teen margins. I mean, if we look at that as part of KGS, that sort of implies it's maybe $40 million of EBITDA and the rest of KGS, $300 million, plus or minus, only running around 6%, 7% EBITDA margins. I would have thought the service is low, but I would have thought maybe microwave electronics, even some of the engine hardware would have been a little bit stronger on EBITDA. Am I thinking about that correctly, based on the numbers you threw out?
Eric DeMarco: You are kind of, but here's the piece. It has to do with like our corporate G&A. And so that $40 million excludes corporate G&A. And because it's the biggest business, with the biggest revenue and the biggest number of employees, et cetera. It gets the biggest part of corporate G&A. Do you see what I'm saying?
Operator: Your next question comes from the line of Peter Arment from Bayer.
Peter Arment: Eric, question -- I mean, you're just talking about the target drone business and tactical. Your target drone business has been growing substantially. And I think now you're either north of $200 million just on that business alone. But how should we think about or how do you view this skyline on the tactical? It seems like the opportunity is there eventually that it's going to beat out in terms of the size of your target business. What needs to happen in terms of -- do we need to get the IOC on Valkyrie, other things? How are you thinking about that longer term?
Eric DeMarco: Yes. So first part of your question, I absolutely believe that our tactical drone business is going to be substantially larger than our target drone business in the future substantially. Orders of magnitude, maybe multiple times larger. The customer set has talked about acquiring reusable, disposable, attritable drones like cruise missiles. Buy them, put them on the shelf, get ready-to-use them when you need to use them. And that's how our tactical drones are. They have the target drone legacy where they can be stored, clip the wings on, tool it up and off it goes. So what needs to happen. We are absolutely, Pete, in the infamous DoD Valley of death with a number of our tactical drones. The government talks about it. DARPA talks about it. The Air Force talks about it.  We are doing everything we can. I'm really glad to answer this question -- you asked this question. We are doing everything we can with the DoD customer set, the Pentagon customer set and congressionally to encourage them to -- because of the threat out there in order to help the defense industrial base, in order to -- for Stem science technology engineering map to move faster than the existing infrastructure military DoD bureaucracy and infrastructure allows them to do. And that's what we're doing. And this is why I continue to reference to you all that we have a handful of jet drones and different classes flying today. Nobody else does. With OBSS, I think we're undefeated. I don't think we've ever lost a tactical drone solicitation that we've participated in. I don't think we've ever lost. I don't see any more future ones on the horizon coming that are funded from budgetary. So that all tells me that with our existing family of aircraft, the ones that we've won, that we're developing, that this is going to happen and when it happens, where the guy is going to happen with. That's how I see it.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back to Mr. Eric DeMarco for the closing remarks.
Eric DeMarco: Thank you very much for joining us this afternoon. We really appreciate the opportunity to update you. And we truly look forward to updating you again when we report Q4, and we head into '22. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation, and have a wonderful day. You may all disconnect.